Operator: Ladies and gentlemen, good morning, thank you for standing by. Welcome to the Teledyne Fourth Quarter Earnings Call. [Operator Instructions]. As a reminder, today's conference is being recorded. At this time, it's my pleasure to turn the conference over to our host, Mr. Jason VanWees. Please go ahead.
Jason VanWees : Thanks, Tom, and thanks, everyone. This is Jason VanWees, Vice Chairman. I would like to welcome everyone to Teledyne's Fourth Quarter and full year 2013 (sic) [2023] earnings release conference call. We released our earnings earlier this morning. Joining me today are Teledyne's Executive Chairman, Robert Mehrabian and our new but familiar management team, CEO, Edwin Roks, President and COO, George Bobb, Senior Vice President and CFO, Steve Blackwood, and also Melanie Cibik, EVP and General Counsel, Chief Compliance Officer and Secretary. After remarks by Robert, Edwin, George and Steve, we will ask for your questions. Of course, so before we get started, Tony's have reminded me to tell you that all forward-looking statements made this morning are subject to various assumptions, risks and caveats as noted in the earnings release and our periodic SEC filings. And of course, actual results may differ materially. In order to avoid potential selective disclosures, this call is simultaneously being webcast and a replay, both via webcast and dial-in, will be available for approximately 1 month. Here is Robert.
Robert Mehrabian : Thank you, Jason, and good morning, and thank you for joining our earnings call. In the fourth quarter, we achieved all-time record sales and GAAP and non-GAAP earnings per share. Sales increased primarily due to the performance of our Marine medical and aerospace businesses, which were more than able to compensate for the previously announced headwind in the industrial automation and laboratory instrumentation market. Furthermore, Overall, record orders exceeded sales in every business segment but were particularly strong in our Marine and Defense businesses. Leverage declined further to 1.9% and our balance sheet remains healthy. Finally, we continue to acquire complementary businesses, as shown by the acquisition of Zeno Networks in the fourth quarter. Compared with last year, fourth quarter and full year non-GAAP operating margin increased 27 and 57 basis points, respectively. Our broad-based strength in orders was encouraging, especially in the uncertain global macro environment today. Nevertheless, it's worth noting that most of the increase in orders was in our backlog-driven longer-cycle businesses. So converting the orders to sales will take a little time. In terms of 2024 outlook, we, therefore, think the quarterly sales and earnings ramp will be a bit greater than in recent years. So while we see annual 2024 sales growth of about 4%, we believe that typically seasonally low first quarter will be slightly under $1.4 billion or roughly flat with last year. I will now turn the call over to Edwin and George, who will further comment on the performance of our 4 business segments.
Edwin Roks : Thank you, Robert. This is Edwin and I will report on the Digital Imaging segment, which is 56% of Teledyne's portfolio. And like Teledyne as a whole, this segment is a mix of longer-cycle businesses such as defense, space and health care, combined with shorter cycle markets, including industrial automation, semiconductor inspection and infrared components and cameras for application ranging from factory condition monitoring and maritime navigation. Fourth quarter 2023 sales was slightly lower compared to last year. Double-digit sales growth in each of X-ray products, FLIR surveillance systems and space-based infrared imaging detectors offset a significant year-over-year decline in sales of industrial imaging systems and Micro Electro Mechanical Systems, or MEMS. Fourth quarter sales of unmanned systems were at the greatest level in 2023 and but declined year-over-year due to a tough comparison. For the second quarter in a row, the FLIR business collective fleet were positive contributors to overall segment margin. In addition, FLIR quarterly sales increased year-over-year and were at the highest level in the last 2 years. George will now report on the other 3 segments, which will represent the remaining 44% of Teledyne.
George Bobb : Thanks, Evan. The instrumentation segment consists of our Marine, test and measurement and environmental businesses, which contributed a little over 23% of sales. For the total segment, overall fourth quarter sales increased 2.8% versus last year. Sales of marine instruments increased 14.7% in the quarter, primarily due to strong offshore energy sales, but also continued growth in global defense and ocean science markets. Sales of electronic test and measurement systems, which include oscilloscopes, digitizers and protocol analyzers were flat year-over-year. We continue to see some softness in sales of analyzers for electronic storage and data center applications. But this was largely offset by continued strong sales of oscilloscopes and a small amount of incremental sales from the Zeno acquisition. Sales of environmental instruments decreased 7.3% and with greater sales of air quality and gas and flame safety analyzers more than offset by lower sales of drug discovery and laboratory instruments. Overall, Instrumentation segment operating profit increased over 14% in the fourth quarter, with GAAP operating margin increasing 284 basis points to 27.1%, and 278 basis points on a non-GAAP basis to 28.1%, both all-time records for the segments. In the Aerospace and Defense Electronics segment, which represents 13% of Teledyne sales, Fourth quarter sales increased 3.4%, primarily driven by growth of commercial aerospace products. GAAP and non-GAAP segment operating profit decreased approximately 5% year-over-year primarily due to a tough comparison with last year's all-time record segment margin. For the Engineered Systems segment, which contributes 8% to overall sales, fourth quarter revenue decreased 3.8%. But operating profit increased with margin up 325 basis points. I will now pass the call back to Robert.
Robert Mehrabian : Thank you, George. In conclusion, we were pleased with our record performance in 2023. In the near term, we will continue to focus on growth in those businesses with favorable markets while cutting costs and protecting margins in businesses which are more challenged. And at the same time, we'll be acquiring and integrating complementary businesses. When certain markets like laboratory instrumentation, industrial automation or electronic test measurement recover, we will keep our cost structure in check and benefit handsomely. But if there are global or macroeconomic shocks in 2024, we will do what we've done in the past, execute well, generate record cash flow and complete some of our base and potentially larger acquisitions. I will now turn the call over to Steve.
Steve Blackwood : Thank you, Robert, and good morning. I will first discuss some additional financials for the quarter not covered by Robert, and then I will discuss our first quarter and full year 2024 outlook. In the fourth quarter, cash flow from operating activities was $164.4 million compared with $237.7 million in 2022. Free cash flow, that is cash from operating activities less capital expenditures was $124.2 million in the fourth quarter of 2023 compared with $203.6 million in 2022. Cash flow declined in the fourth quarter since we made $139 million of additional tax payments, which we were allowed to defer from the second and third quarter of 2023, due to IRS disaster relief. Without these catch-up tax payments, quarterly cash flow have been at an all-time record. Capital expenditures were $40.2 million in the fourth quarter of 2023 and compared with $34.1 million in 2022. Depreciation and amortization expense was $77.4 million for the fourth quarter of 2023, compared with $81.8 million in 2022. We ended the quarter with approximately $2.60 billion of net debt. That is approximately $3.24 billion of debt less cash of $48.3 million. Now turning to our outlook. Management currently believes that GAAP earnings per share in the first quarter of 2024 and will be in the range of $3.73 to $3.86 with non-GAAP earnings in the range of $4.55 to $4.65 per share. And for the full year of 2024, our GAAP earnings per share outlook is $17.15 to $17.53. And on a non-GAAP basis, $20.35 to $20.68. The 2024 full year estimated tax rate, excluding discrete items, is expected to be 22.5%. I will now pass the call back to Robert.
Robert Mehrabian : Thank you, Steve. We would now like to take your questions. Tom, if you're ready to proceed with the questions and answers, please go ahead.
Operator: [Operator Instructions] We'll begin today with a question from Jim Ricchiuti representing Needham & Company.
Jim Ricchiuti: I wanted to see if we could dig a little bit more into the way you see the year unfolding, it sounds like Q1 a little bit more seasonality. And I guess, with respect to the full year guidance, as you think about the balance of the year, are you making some assumptions of recovery in the shorter cycle business in the latter part of the year, particularly some of the areas that have been weaker, like the lab instrumentation and the industrial automation, machine vision area.
Robert Mehrabian : Alright. Yes. We're right now expecting uptick in those businesses in the second half of the year. We think that what will happen is that we will have a linear ramp in sales and earnings throughout the year with about average revenue increase of about 4% and earnings as we've outlined up to $20.68, which would reflect also an improvement in margin from this year to next year of another almost 50 to 60 basis points. So yes, we're anticipating that. On the other hand, we're also adjusting our cost structure and if necessary, we'll do more. So that our earnings remain healthy.
Jim Ricchiuti: With respect to the margin improvement that you're anticipating I'm wondering how should we think about margins by some of the major business units just directionally?
Robert Mehrabian : Sure. Jim, we are expecting margin improvement in every segment. A little lower in instruments, maybe 25 basis points. We already have very healthy margins there. On the other hand, in Digital Imaging, about 80 basis points. In Aerospace and Defense, we think we'll have 80 to 90 basis points. And engineered systems around 50 basis points. So overall, Jim, in the segment, we anticipate about 70 basis points margin improvement. And overall, for the company between 50 and 60 basis points. In a way, it's kind of similar to what we achieved this year. Which was about 60 basis points over last year.
Operator: Next, we'll go to the line of Greg Konrad with Jefferies.
Greg Konrad: Maybe just to follow up with the last question, but on the revenue side, given the commentary around book to bail, 4% growth for the year. Can you maybe talk about the assumptions between long and short cycle or from a segment basis for growth in 2024?
Robert Mehrabian : Yes, Greg, let me give you the segment first. And then I'll try and answer the first question. From a segment perspective, with the instrumentation, would grow about 3.5% this year over last year. We think Digital Imaging will -- going back to instrumentation, there's a difference between the different businesses that we have. The marine businesses with healthy background backlog, as George mentioned, would grow about 6% to 6.5%, whereas environmental would be just under 3%, and we're expecting T&M to basically hold. Going to Digital Imaging. We believe that the overall sales increase would be above 4%. Aerospace and Defense, about 5%. Engineered Systems, about 4%. And when you add all of that up, we expect an average of about 4% at this time.
Greg Konrad: And then maybe if we can just dig into digital imaging a little bit more. I mean the commentary and the release around product lines on the call was helpful. But is there any way just for Q4 in 2023 to kind of level set or put some numbers behind growth in space in health care versus maybe the declines you've seen in other parts of the portfolio?
Robert Mehrabian : Sure. Let me start with Q4, please, and then I'll go to some of the others. In health care, we had really nice Q4. Revenue increased about 13.5% to 14%. In Aerospace and Defense, it increased about 5%. This offset basically weakness in our industrial and scientific vision systems. The flip side, if you go over to our FLIR businesses, we have really robust growth in our surveillance system, about 16.5%, and some of our detection products Overall, in Q4, FLIR revenue defense increased about 4.8%. Now going forward, to the future. I'll make a little distinction between DALSA e2v and FLIR. We think that DALSA e2v would have a modest growth of about 3%, offset by about 4.5% in FLIR. As mentioned earlier, clear defense especially, is experiencing really good order intake -- and we expect the growth there to exceed that of the rest of the imaging. So I can give you more detail, but that's basically a summary of it.
Operator: We'll go to the line of Ron Epstein with Bank of America.
Unidentified Analyst: This is Jordan Lines on for Ron. I wanted to ask, so for the backlog growth in the defense wins that you guys are seeing, how are you guys thinking about the risk of the CR?
Robert Mehrabian : Well, Sure. Obviously, CR is always an unpleasant occurrence for us. The way we're looking at it is we're only right now considering the orders that we have in house. We're not really looking at future orders. So book-to-bill has been healthy. These are longer-term programs. And frankly, we have some exciting new products coming out, which are being now tested. For example, if you look at our Black Hornet, we -- Black Hornet 3, which is our nano drones. Black Hornet 3 had a really good run over the past 5, 6 years. We've introduced a Black Hornet 4, which is already getting traction. We also have some really nice programs in space development agency, tranche true tracking layer as well as our international sales in that domain are healthy. So in some ways, while CR would be not a pleasant thing to experience. We've done it in the past. We've had CRs in many years. Right now, we're looking at what we have in our backlog, which is healthy.
Unidentified Analyst: Got it. And then on the Unmanned Systems – Air systems that you guys cited as being lower for DI. Is that related to just sunsetting programs? Or what was driving that change?
Robert Mehrabian : I think basically, it’s tough comps rather than real declines. We think our drone businesses are healthy. We also have some businesses that our anti-drone or flame detection systems, which we’re selling in Europe, which are very healthy. So I think it’s just a matter of tough comps. Other than that, we feel very good about our drone businesses.
Operator: A question from the line of Joe Giordano with TD.
Joe Giordano: Close enough there. How are you doing?
Robert Mehrabian : Good, Joe. Good.
Joe Giordano: Can you -- I'll start on free cash flow. I think that at the end of the day, that probably came in a little lighter than you thought for the full year. Can you talk about how you think '24 shapes up and how working capital looks for the year?
Robert Mehrabian : Yes, you're right. It came in a little lighter, but we made some really good progress in the third quarter, and especially in the fourth quarter, from our managed working capital perspective, we had some significant improvement in our -- trying to reduce our inventory. The flip side is, we also did not -- we're always like most companies suffering from not being able to get cash for our R&D. So I'd say but that affected us maybe $75 million or $60 million to $75 million. Our cash, nevertheless, if you looked at it, we paid down $680 million of debt in 2023. Our debt-to-EBITDA ratio -- net debt-to-EBITDA ratio is about 1.9. So let me fast forward to 2024. We believe we'll do a little better in 2024 than we did in 2023. We'd like to think that we would have a 100% conversion, recognizing that there is always going to be this R&D headwind. Even though everybody in the Congress has agreed that the R&D program should be passed. I think nothing is passing in this Congress. So we're not -- we're assuming we don't get that. Nevertheless, we think will be somewhere between $900 million, $925 million and $1 billion. If we hit those numbers, which we think we will then our debt-to-EBITDA ratio should go down from 1.9 to closer to 1.1 to 1.2, which is -- which puts us in a really good position to be able to make both small and midsized acquisition.
Joe Giordano: That's really helpful color. My last one, we've kind of talked about the a lot, but I just want to -- maybe if you can frame for the full year of '23, like how much down was like the industrial and scientific vision? And what did that do to margins? And then how did FLIR margins for the full year look year-on-year?
Robert Mehrabian : Okay. Let me just pick the first part. Industrial and scientific vision, I'm going to say we're down about 2% year-over-year, larger declines in Q4 than that. In terms of the margins, FLIR margins actually improved significantly year-over-year. It went from 20.3% in 2022 to 22.1% in 2023, which was very healthy. As a consequence, we were able to hold the overall margins in Digital Imaging relatively flat.
Joe Giordano: And you'd expect FLIR to expand margins again in '24, correct? Just inherent in that margin commentary?
Robert Mehrabian : Yes. We think FLIR would have some margin expansion. But if you look at it as a whole segment that is our Digital Imaging segment, we expect margins to increase somewhere between 50 and 100 basis points in 2024.
Operator: Next, let's go to the line of Kristine Liwag representing Morgan Stanley.
Kristine Liwag: Robert, last year, you talked about some facility consolidation at Digital Imaging. And you're also talking about 80 basis points in margin expansion this year for the segment. How much of that is from this consolidation from before on the floor integration? And how much of that is on better price cost? And ultimately, could we expect to see higher margins there if you have additional cost takeout you could do this year?
Robert Mehrabian : Yes, Kristine, let me see if I can do this properly. We -- we are in the process, for example, now in terms of space consolidation. What we're doing is we're getting out of leased spaces and moving to owned spaces. For example, in Massachusetts, we have an own space in Bevrica, we're getting out of a lease space there, and that should be effective in March. That will help us say something of $500,000, $600,000, $700,000. The issue that we have whole consolidation overall is helpful. It's the growth of our businesses and the lower costs that we have put in place this year. that should be more helpful. So when Edwin thinks about or talks about margin improvement, he is looking at really a lower cost structure, which we've achieved maintaining that and getting some growth, especially from our longer-cycle businesses. So it's a combination of those. I would say, lower cost and growth trumping just space consolidation.
Kristine Liwag: Great color. And in terms of industrial automation and the laboratory instrumentation markets, you've talked about a rebound for the second half of the year. What metrics are you looking at? What indicators are you following to -- that you're watching out for this end market?
Robert Mehrabian : For industrial automation, really is it's a combination of things. We're seeing, for example, some improvement in the semi market now, projections for improved semi market recovery. We'll also seeing some pickup in smartphones now, which is our consumer-related businesses, which affects our Micro Electro Mechanical Systems MEMS programs, in the other markets, especially laboratory instrumentation, we don't have as much visibility, frankly, we haven't seen these kind of declines before. So we think those should come back. But we're not counting on them a lot. We think there's a flip side of our environmental businesses, which is -- that's a part of which is the air quality, water quality monitoring, which have been very healthy. We have a nice backlog and -- we think the combination of those 2 will help us in that part of our instrumentation business.
Kristine Liwag: And last question for me. I mean, your current leverage position gives you flexibility to pursue more sizable deals? I mean, you've recently closed the Zeno acquisition. But in terms of larger deals, are valuations starting to look more attractive? And how is the 2024 pipeline shaping up?
Robert Mehrabian : Yes. I have to tell you, valuations on the larger deals have not come down yet as much as we would like. We've looked at some of the prices that our competitors have paid for large ones, those are kind of out of our range of what we would consider. On the flip side, we see some opportunities in smaller bolt-on acquisitions, what we call single pearls, which are available, and we will be pursuing those. If you looked at our '68, '69 acquisitions over our history, the string of pearls are of '68, '69. And they are the easiest to integrate. We can fit them in and we can improve their margins as we go. The larger deals, we have to be a little more patient because right now, prices are still pretty high.
Operator: Here's a question from Andrew Buscaglia with BNP.
Andrew Buscaglia: Digital Imaging margin. So I wanted to ask on -- so you're going to start Q1 sounds like in a whole. First off is digital imaging margins, do you expect those down year-over-year and that effectively marks sort of a bottom for that segment as sales start to improve from there?
Robert Mehrabian : No. The answer is no. I don't expect Digital Imaging margins to go down. I think that should go up a little bit in Q1 and then pick up the rest of the year. As I mentioned before, Andrew, this -- we think Digital Imaging as a whole should have margin improvement in '24, somewhere between 50 basis points and 100 basis points. We'd probably more prejudice towards the higher number. But nevertheless, no, I don't think we're expecting to suffer there because as we've done before, when some of our markets soften up, we take cost out. And then that helps maintain our margins. And the markets come back -- we really enjoy the margin improvement. So no, I don't think digital imaging is going to go down.
Andrew Buscaglia: And you mean up year-over-year or up sequentially?
Robert Mehrabian : Well, I think year-over-year first, it's going to between 50 to 100 basis points. I think -- and I think what would happen is if there's sequentially -- it will be sequential improvement. I don't expect things to go down.
Andrew Buscaglia: Yes. Okay. And then in past quarters, you sort of broke out [indiscernible] book-to-bill versus legacy Teledyne book-to-bill. Do you have that? And then wondering your view on potential incremental defense awards as the year progresses?
Robert Mehrabian : Sure. If you look at instrumentation, which is all legacy Teledyne in some ways. Which is marine, environmental and test and measurement. The book-to-bill in Q4 was 1.12 which is very healthy, driven primarily by Marine, which was really good. Digital Imaging, we -- or excluding FLIR, I'm just answering your question precisely, it was just over 1. Aerospace and Defense, it was closer to 1.2. That's historical paradigm. And Engineered Systems was just over 1. And then if you look at FLIR, which is our big acquisition, obviously, it was just over 1. So all in all, whether it's our historical Teledyne or Teledyne Plus FLIR, if you look at Q4, our book-to-bill was over more closer to 1.07%.
Andrew Buscaglia: Okay. And then a question on you're feeling on incremental defense awards throughout the year. Is there still a lot you're tracking?
Robert Mehrabian : Yes. The answer is yes. We have a pretty good read on what's coming. We have some new products. I mentioned the Black Hornet 4. I mentioned the space Tranche 2. The primes that have gotten their awards in last week or we are up to all of them. And we feel good about that.
Operator: [Operator Instructions] And let's go to the line of Noah Poponak with Goldman Sachs.
Noah Poponak: Robert, your full year 2024 framework is assuming 4% full year organic revenue growth. Is that correct?
Robert Mehrabian : Yes, about 4%.
Noah Poponak: And can you just repeat what you said about the first quarter top line revenue dollars or organic revenue growth?
Robert Mehrabian : Yes. I think it'd be above 1.4 or a little under, if that's going to be our lowest quarter. And I'm saying that because of the short-cycle businesses that we're seeing. We have orders on long-cycle businesses. But we -- our short-cycle businesses -- we're assuming that will not recover much in Q1 and so it should be flat year-over-year in terms of revenue and then pick up.
Noah Poponak: Got it. Okay. Just -- yes, I wasn't clear, but now I am. And I guess in those short-cycle businesses, I mean this has sort of been asked and discussed, but just have you actually seen concrete evidence of when that will pick up? Or I know a short cycle, but orders for it to pick up? Or are you just kind of making an assumption based on everything you know about the business? And then I guess you'll also have easier compares.
Robert Mehrabian : That's very good. We look at our pipeline, as necessarily say that we have better orders at this time. But we're talking to our customers, we're looking at that inventory level, but they're sharing that with us. And we see that inventories are going down. As a consequence, we expect that we will start getting the orders. long cycle, of course, you understand that's much easier because we already have the orders, and we feel good about that. So the other thing that we do on the short cycle is we look at the generator trends that people are talking about in terms of what happened in the semi industry in the past number of quarters. And what's expected -- what people are projecting. We'd be thinking that environmental and test and measurement will eventually pick up. But we're also seeing some pickup in MEMS already in flame infrared as well as our maritime businesses. So that's what's encouraging. We see some lowering of inventories for our customers as well as some pickup in certain unique businesses of ours.
Noah Poponak: Okay. That makes sense, and that's helpful. If I go to the 4% organic for the year, and then I do what you said with the segment margins, I think most of the things between that and the EPS are pretty straightforward. I get something above your EPS guidance. Is it safe to assume that you've just embedded some degree of conservatism relative to the lack of visibility in short cycle in the EPS range?
Robert Mehrabian : Yes. You said it better than I could. We're always a little conservative. The other -- there's one other thing that I should mention. When we look at our segment, per se. And we look at increases in segment margins. We have to be cognizant of the fact that the new management, which is Edwin and George are now going to be their costs or their pay is going to reflect in the corporate portion. And we're also seeing a little higher medical and insurance premiums. So corporate, we expect would go up. That's why while the margins in the segment look much higher, the corporate margins are -- we're assuming they're going to be increasing about 50 to 60 basis points.
Noah Poponak: Last one, some of your commentary makes it sound like the M&A pipeline is pretty full and pretty active and you're pretty optimistic about what you see. Other things you've said suggests there's a bid-ask spread and maybe it's a little tougher. So I guess, can you put a finer point on it in terms of how likely we are to see deals this year?
Robert Mehrabian : Yes. Let me just say that the confusion may have reason because I was answering 2 questions at the same time. The first part was larger acquisitions because we -- our leverage ratio is obviously going down and it go down faster this year. The larger acquisitions right now that we look at are pretty expensive. People are paying prices that we are not going to. On the other hand, smaller acquisitions are available, and we expect to make some this year. So I think we'd be patient for the larger ones like we always have been and -- but we will make some smaller acquisitions this year. So we have a reasonable product line.
Operator: Next is the question from Robert Jamieson with UBS.
Robert Jamieson: Very helpful. Just one kind of smaller one on A&D electronics. Strong growth, like expected for next year and another 80 to 90 basis points of margin expansion. Just curious how you're thinking about the growth split within commercial aerospace between new builds and then MRO? And then how should we think about the puts and takes on margin there, maybe if like MRO is a little bit pressured next year?
Robert Mehrabian : Let's stay with aerospace first. A significant amount of our revenue in aerospace is in the aftermarket. Because we have a very large embedded base in aircraft of various kinds. So we think that is going to be very helpful for us. We also are -- obviously, in 737, we have a product line that's going into that. And we think that's going to help us regardless of the current issues with builds and so on. On the defense side, we are seeing some good programs in modernization, stockpile, replacement. And we think those would be helpful to us. And obviously, we believe it will be a balance of improvement, both in aerospace and in defense perhaps 5% to 6%. 5% to 6% in each domain.
Robert Jamieson: That's great. And then this is kind of more of a random question, but just -- we talked a little bit about capital allocation. You got a full funnel, probably going to look to do some smaller acquisitions. Absent anything large, and I know this would be a deviation for what we've seen over the last several years. But would you have any interest in buying back stock? And then I guess one other kind of thought or questions that random would be given like the float, would you ever consider a stock split to maybe make it a little bit easier to trade like tighten the bid-ask spread? And could that ever maybe make it easier for you to buy back stock?
Robert Mehrabian : Split, no. And the reason -- let me start there. And the reason I say that that's a pain for our investors. And 90-plus percent of our investors are institutional investors. We don't want to cause that kind of a problem for them. We have very small fraction of our investors that are retail investors. Going back to buyback. Right now, we think our investment returns are much better reflected in acquisitions than stock buyback. You don't want to say never because stock goes down a lot, then it becomes attractive. I'm hoping that doesn't happen. We do have open authorization if we wanted to do that. But right now, I don't see that as long as we have attractive acquisitions, even small ones, we'll do those. And there's nothing wrong also having some cash on the side in these days. with the interest rates that we're seeing. So we have to pay down about $600 million of debt this year. In some ways, it's unfortunate because it's fixed debt at less than 1%. But then we don't have to pay down debt going in 2026. So we'll have a lot of cash available to do things. So we think we'll be okay.
Operator: [Operator Instructions] We have a follow-up from Joe Giordano, he's representing TD Cohen.
Joe Giordano: Just wanted to ask on the pricing environment because I know you said before that maybe you took less -- I mean, price was so strong for kind of everyone for a long time here. But I think in some areas, maybe in some of the vision products, you took less price than you probably could have to kind of maintain share. And just curious how the pricing environment has evolved since you made those comments and what you're thinking how price is a part of your guidance for next year?
Robert Mehrabian : First point, backwards, in '23, we had some nice price increases. I'm going to say broadly 2% to 3%, let's say, 3%. We expect the same in '24. In some areas, obviously, we were able to increase price more than 3%. But in some areas like government contracts that are not peak [indiscernible] the cost plus then you can increase prices as such. So I think 2% to 3% is what we're looking at for '24.
Operator: And we have no other participants queuing up at this time.
Steve Blackwood : Thank you very much, Tom. I'll just have -- I'll ask Jason to please conclude our call.
Jason VanWees : Thanks, Robert. Again, thanks, everyone, for joining us this morning. And if you have follow-up questions, please feel free to call me at the number on the earnings release. And Tom, if you could give the replay information, just a conclusion, that would be the ideal.
Operator: One moment here. I pull that up -- sorry about that. Ladies and gentlemen, this will be available for replay, if you can make one moment. It will be available for replay in an hour, and it will run through February 24 at midnight. You may access the AT&T replay service at any time by dialing (866) 207-1041 866-207-1041 and entering the access code of (459-0647)45-90647. And we thank you for your participation and using the AT&T Event Services. You may now disconnect.